Operator: Good morning, ladies and gentlemen. Thank you for standing by and welcome to the ION Geophysical first quarter earnings conference call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. (Operator instructions) This conference is being recorded today Thursday, May 6, 2010. I will now like to turn the conference over to Jack Lascar of DRG&E. Please go ahead sir.
Jack Lascar: Thank you Britney and good morning and welcome to ION Geophysical Corporation's first quarter earning conference call. We appreciate your joining us today. Your host today are Bob Peebler, Chief Executive Officer, and Brian Hanson, Executive Vice President and Chief Financial Officer. Before I turn the call over to management, I have a few items to cover. If you would like to be on an email distribution list, to receive future news releases, or experience a technical problem and didn't receive yours yesterday, please call us at 713-529-6600 and let us know. If you would like to listen to a replay of today's call, it is available via webcast by going to the Investor Relations section of the Company website at www.iongeo.com or via a recorded instant replay until May 20. The information was provided in yesterday's earnings release. I should also point out that we will be using PowerPoint slides to accompany today's call. They are accessible via link on the home page of ION's website. Information reported on this call speaks only as of today, May 6, 2010 and therefore you are advised that time sensitive information may no longer be accurate as of the time of any replay. Before we begin, let me remind you that certain statements made by management during this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and include known and unknown risks, uncertainties and other factors, many of which the company is unable to predict or control that may cause the company's actual results or performance to differ materially from any future results or performance expressed or implied by those statements. These risks and uncertainties include the risk factors disclosed by the company from time-to-time in its filings with the SEC, including in its annual report on Form 10-K for the year ended December 31, 2009, and in its quarterly reports on Form 10-Q. Furthermore, as we start this call please refer to the statement regarding forward-looking statements incorporated in our press release issued yesterday. And please note that the contents of our conference call this morning are covered by these statements. I will now turn the call over to Bob Peebler.
Bob Peebler: Thanks, Jack. And good morning. We are very pleased to have finalized our INOVA joint venture at the end of last quarter and I’m confident that we will gain significant benefit for share the land business that will flow from the venture. In addition we now have a much strong balance sheet including the greatly reduced debt load going forward. Although we had some significant one-time charges related to closing the transactional Brian will review in detail, our underlying business results during the quarter, were generally what we expected and we’re closed during internal plans. As expected our equipment businesses both Land and Marine were slowed as our contracted customers continue to postpone equipment buying decisions until their excess capacities absorbed with increasing activity. The good news is our customer’s businesses do seem to be slowly strengthening in certain areas and we are starting to see a pipeline of opportunities beginning to grow. One additional drag on our Land business in the first quarter was the fact that sizable portion of the China market was on hold waiting for the joint venture to close. For the first time in a long time, we had zero business during the quarter from our Chinese customers. Even though China was weak in the first quarter, we saw a real momentum in other regions with Mexico standing out as a strong example of the success we are having with an integrated solutions approach that directly targets E&P operators. As most of you know, Pemex is a sole E&P operator in Mexico. During the first quarter, Comesa, Pemex’s part owned seismic subsidiary finished the third in a series of full-wave seismic surveys using FireFly. Comesa’s productivity improves steadily throughout the three projects which were conducted in the diverse array of operating environments including mangrove swamps and urban areas. Our GXT imagining solutions group processing the data and working side by side with Pemex to interpret both conventional and full-wave seismic data to optimize decisions related to exploration and reservoir development. In addition, and not directly related to these FireFly surveys, GXT also entered into a long term processing contract with Pemex that will provide GXT with more visibility into the revenue streams of Mexico over the next several years. Moreover, it may open up additional opportunities for ION both in processing and in our other business lines. Another positive first quarter development is that for the first time in roughly two years we are beginning to see some early signs of buying activity among the land contractor customers. One early indicator in the strengthening we are seeing and it is in our Sensor geophone business. Sensor has a significant market share and has a solid presence in the number of key markets. Particularly North Africa and the Middle-East. Geophone sales are good indicator of the health of the land business as they are semi expandable and sales usually swing with overall industry activity. We feel they are some what of a lead indicator for the business and even though we had a very slow first quarter in Sensor we do see our Senor geophones pipeline really picking up. We have also introduced a new generation extended life geophone that provides the same quality improved durability. So, we expect to pick up some market share starting this year. Our marine business is still benefiting from our leadership in our steerable streamer technology, with DigiFIN continuing to be well received by the industry. We don’t see any reason for that trend to change as we are hearing more and more success stories from both contractors in all companies. Also Concept’s Orca installed base continues to expand as complex survey such as wide-azimuth are dominating the high end of 3D surveys and Orca is essential for our customer’s productivity in these types of surveys. As an indication of Concept’s System’s success the 2010, first quarter was the best ever first quarter in our history. Our data processing business continues to be strong. One excellent trend in this area is our ability to lock-in long term data processing contracts like the one I mentioned earlier for Pemex which gives us even more visibility into our market and future revenue streams. GXT’s backlog of contracts also is a strong indicator of our customer’s fate and our ability to continue to provide excellent service and quality and maintain our position as the innovation leader. In addition to our strong marine depth imaging business including reverse time migration we are also gaining strength in our dedicated full-wave processing business and our leader in helping explorers and engineer’s optimize our drilling activity in the emerging shale plays of North America and in the future of Europe and China. We are also seeing either more opportunities for a full-wave technologies both acquisition systems and processing as the lower natural gas prices are creating the need for more productivity and smarter decision making among the oil and gas companies investing in unconventional reservoir development. Our multi-client business still benefits from our technology, leadership and processing. For instance, in Brasil we have leveraged our expertise in deep subsurface imaging to generate BrasilSPAN, data library that explores in our regions are using to tune our exploration programs. We added additional data our BrasilSPAN library in the first quarter and are working with the member of oil and gas firms that are attempting to identify analog prospects on both sides of the South Atlantic. They are looking for the ancient conjugate ties when the African and South American continents were connected that properly understood and reconstructed may allow them to find similar prospects offshore Africa to those found in Brasil and vice-a-versa. Another major basin SPAN focus area for us is in the Arctic where we have implemented the total solutions approach the leverages a tool kit, the processing methods, operational techniques and marine equipment. This unique integrated approach has given us a significant competitive advantage in our Artic operations as we are able to offer the E&P companies that are exploring offshore Alaska, Canada and Greenland a solution of less and better evaluate high potential areas that may have modern seismic shot at least not for several decades. I am proud that we managed to continue our Artic operations last year even though we are stressed financially. We believe that we are going to benefit this year and even more in 2011 and beyond because of the pioneering work we performed during our Greenland SPAN program in 2009. Related to our multi-client business we had a much stronger first quarter in data library sales compared to the same period last year and we feel this bodes well for the rest of the year. That combined with a significant increase on our new ventures business where we are executing several new program should resolve in solid increase for 2010 over last year. Wrapping up I want to emphasize our goal for 2010 is to get the company back to profitability. Even though as we expected we had a slow start so far, we feel we are on path to achieve our profitability goal for 2010. Having closed the joint venture transaction on time as planned is a very good first step. We are growing confidence that the world’s economies are slowly healing and high expectations that the oil business will follow with strengthening energy prices and investment programs. In net we think the table is being set for a much stronger 2011. I’ve heard several of my peers in the industry talk about how they expect we’re at the beginning of another three to five year gross cycle and I agree with them. We’re well positioned as any new cycle will likely have a strong emphasis on new technology in areas such as the shales, the Arctic the sub salt plays of the Gulf of Mexico and the South Atlantic. We plan to take advantage of this coming up cycle be continuing our focus on cost as we had through out the last year but also continued to innovate and roll out the latest technologies that both oil and gas companies in contract would require to efficiently and safely acquire and process seismic data in the most challenging operative environments. We’re also excited to work with our partner BGP in assuring the success of INOVA and to corporate in other areas where it makes business sense for both companies. With that, I will turn the call over to Brian.
Brian Hanson: Thank you Bob. Good morning everyone. Let me start off with a quick visual on the numbers. We thought it would be helpful to provide a consistent look each quarter that are trailing 12 month revenues, in the quarter most recently and compared that to the trailing 12 months revenues from the year earlier period. I don’t want to dive into all the numbers but I think this chart doest highlight some of the macro trends in our business. For instance, you can see the strength in our data management business, carrying a downturn, conversationally, you can really see the revenue fall offs in our land and rate equipment business lines. High end solutions declined through out the fall off was due to lower data library sales and lower revenues from new ventures. GXT data processing actually increased during the period. We plan to show this slide on a consistent basis during future calls. Next I wanted highlight some of the big items in the quarter. As everyone is aware in late March, we closed on or joint venture with BGP creating INOVA Geophysical and simultaneously refinanced our debt. We paid off a revolver balance of $118 million, the term loan balance of $102 million and the amended and restated subordinated seller note of $35 million. Additionally the ICON secured equipment financing debt of $18 million was assumed by INOVA Geophysical, we also entered into new un-drawn revolving credit facility with a $100 million capacity and a new term loan agreement for $106 million. At March 31, 2010 we have no balance outstanding on the revolver compared to $118 million outstanding on previous revolver at the end of 2009. In total, our debt balance is currently $115 million, with a $107 million classified as long-term debt. The de-leveraging of our balance sheet was significant and marks the shift in the tide as we anticipate significantly lower interest expense and other debt related costs. With these debt refinancing our liquidity and working capital improved dramatically and we ended the quarter with $46 million in cash on hand. In addition of changes in our balance sheet, we also had a quarter that was consistent with our internal expectations. As Bob mentioned we anticipated that this quarter was going to be softer as most of our first quarters are. We also anticipate that the remainder of the year will see growth across all of our business segments, however, despite the overall softness of the quarter, we still had record first quarter revenues in both our data management solutions segment and data processing services. Our marine imaging systems segment is projected to have improved results for the remainder of the year due to anticipated continued market improvement which will likely increase our customer demand. Our data library sales which are historically low in the first quarter of the year was strong this quarter exceeding sales in every single quarter for all of 2009, we are also continuing to expand our new venture of programs and anticipate building activity in this sector as well. So overall the quarter was expected with each of our segments showing promise for improvement in 2010, positioning ION for 2011. As you’ve already seen in the earnings release, we have three special items totaling $44 million but I’d like to point out specifically. The first charge is a $38 million loss, relating to the disposition of our Land division. This loss is mainly composed a foreign exchange rate effective $21 million on a four net assets contributed to INOVA Geophysical. The remaining difference is comprised to professional fees directly related to the closing of the joint venture unrelated transactions. Secondly, as part all of the refinancing as I mentioned earlier, we wrote-off $10 million to deferred financing charges. Finally, we realized a net gain of $4 million related to our warrant with BGP, which included a gain of $13 million related to the fair value change and the warrant partially offset by the continued accretion of the debt discount of $9 million. Warrant expired unexercised on March 25, however, accounting rules required that we recognize the change in fair value from January 1, to March 25, on our income statement. The remaining balance of the warrant of $32 million was re-classified to equity on March 26. With the closing of the INOVA Geophysical transaction, we are not currently anticipating anymore material joint ventures specific expenses. If you remove the impact of all these special items, our EPS for the first quarter improved to a loss of $0.09 per share. As Bob and I have mentioned before, our overall goal is to return to profitability gain for 2010. 2009 was incredibly volatile which made our ability to forecast quarters very difficult. We are constantly surprised as anticipated business evaporated within each quarter. However, we are now seeing the volatility greatly reduced with anticipated business in the quarter materializing rather than evaporating derisking our near term projections. We believe this is a great lead indicator of the improving health of the market and a precursor to increasing sales volumes. While we still believe that’s premature to return the providing guidance. We do want to issue some general guidelines related to specific line items. Interest expense is anticipated to be approximately $5.5 million to $7.5 million for the last three quarters of 2010. With the formation of INOVA Geophysical we anticipate that our intangible asset amortization will likewise decrease by approximately $1.5 million per quarter to approximately $2 million per quarter excluding investments into our multi-client data library. Our effective tax rate is anticipated to be between 24% and 28% for 2010. Also beginning in the second quarter, we will be getting to provide improved metrics in addition to the new table provided in this quarter’s earnings release. Our goal is to provide improved visibility in ION for shareholders. Finally, I wanted to give an update on how we are accounting for the joint venture. In the first quarter of 2010, we removed the contributed land businesses from our financial statements and reflected our investment in the INOVA Geophysical of $119 million as a separate asset on our balance sheet. The accounting for INOVA Geophysical under the equity method of accounting. Under this method, we will record our proportionate share of the joint ventures earnings and losses in our income statement as part of other increment expense. Because of the financial statements of the INOVA Geophysical are not expected to be sufficiently timely for us to apply the equity method currently we will record our share in earnings of INOVA Geophysical on a one fiscal quarter lag basis. Thus the first full quarter results of INOVA Geophysical will be included in our filing for the three and nine months extended September 30, 2010. We will also provide in our quarterly reports the financial results of the joint venture to again provide better transparency into our operations. And with that we will open up the call for questions
Operator: Thank you sir. We will now begin the question and answer session. (Operator Instructions) And our first question comes from the line of Daniel Burke with Johnson Rice.
Daniel Burke: Question on your commentary on BGP, as well as other Chinese customers being absent in Q1, obviously likely to return. Could you maybe separate out the behavior or how you expect BGP's behavior to be different than maybe your other Chinese customers? Actually, more curious about the other customers out there, what pace do you think that the sales ex-BGP return?
Bob Peebler: One is there are several seismic contractors in the oil fields that belong to CNPC, that not owned by BGP. So BGP is owned by CNPC. So therefore the joint venture is also a part of CNPC. So there is quite a potential volume of business that is related to those companies. In addition to that, CNPC is owned by the Chinese government as well as Sinopec. And if you go down that side there is also purchases that will likely make by some of the Sinopec customers. So I think we believe there is just an, there will be a natural tendency to want to buy from INOVA since it has a strong presence with the Chinese.
Daniel Burke: I know that question for second quarter, you particularly talked possibly about the penetration of both work and digits in, into the higher industrial market and I guess is there any way to think about that in terms of how penetrated your technologies are into those two markets at this point just in terms of projecting how long that benefit overly carry forward?
Bob Peebler: One is much of the DigiFIN sell and the Orca sell is back into an installed base. We still have some new vessel sales that are going on. There are still some coming out. So you have sort of that separation between new vessels in installed base and I would like to give you actual specifics but I would say we are not close to half yet on the penetration for DigiFIN and to what’s available. Then you also have the phenomenon of the increase in streamer, going increasing the numbers of streamers in the water. So you can also have the phenomenon where you may have a boat that’s a six-streamer vessel that becomes an eight-streamer vessel and then that opens up additional market. So we are certainly see further penetration over the next two, three years likely with that product line and then as you build up your installed base you start giving the spares repairs and those things going on.
Daniel Burke: If I could squeeze one more and just on the accounting side Brian, I think as I understood your explanation we won't see an over results sort of included in an ION press release until Q3 ’10. So I guess my question would just be in Q2 ’10 then on the P&L side, what are we going to see? I think I might have missed that part of the tutoring.
Brian Hanson: For the second quarter results, you’ll see essentially five days of INOVA Geophysical results included into the second quarter. And those five days will be represented by that’s from March 25 through April 1. that’s that period when INOVA was formed in the first quarter.
Operator: Thank you. Ladies and gentlemen, (Operator Instructions). And our next question comes from the line of Jim Macari with Neuberger Berman. Please go ahead.
Jim Macari: Good morning, Bob and Brian. I was just wondering if you could give us some early color on how the merger with BGP is going, how the, what kind of start we're getting at the JV, those sorts of things. A little color on cultural fit and management.
Bob Peebler: One of the things we did all through the first quarter was to assemble the team, I guess the leadership team in place as a mix of BGP folks and ION people. The CEO was appointed is he’s a guy names Steve Bate who came out of ION side, Steve was running the land division for us and before that he was running the Sensor division so good experienced guy, that team was put together and actually they finalized the operating plan for 2010 and their five year plan over that three month period so there was a lot of intense work where the teams were actually working together both in Beijing and Houston and Calgary to get that pull together. I frankly pleased quite pleased with the quality of work and also the work that that team has done working together and obviously you have to carry down into organization, I think the one thing that's really different than many joint ventures, this is not a case where two companies come together and then put people together create something brand new. This is the case where we sold slightly more than half of what we had in existence to BGP and then they put in some assets to join into that group, so for many, many people in the organization, awful lot has changed except the ownership, their bosses are still the same, the things they are working on is still the same, so it's not all that disruptive. What I have also seen is a significant interest as you would expect from our Chinese customers both existing BGP, CNPC companies, our teams are over there right now that's what they are doing is going around the oil fields and along with some people from BGP who start talking about people in INOVA and what they can purchase and different things so, I think Jim we are quite happy, we think its progressing nicely and considering it just came together, I don't think it could be better than it is.
Operator: Thank you and our next question is a follow up question from the line of Daniel Burke with Johnson Rice, please go ahead.
Daniel Burke: I just had one other follow-up. You mentioned Sensor specifically. I guess Sensor will stay at ION, obviously. Is there a way to maybe break out how Sensor and some of the legacy land businesses staying with ION performed in Q1, just to start getting the run rate there, since we will obviously begin to see that a little more obviously each quarter going forward?
Brian Hanson: You know, Daniel, since it’s probably not a big enough entity to break out as a separate line item, as a revenue segment, we will probably treat it more as we'll probably integrated in one of our segments. You can imagine that sense of business is essentially a product line. So by giving that much disclosure around the product line there is a lot of competitive pricing information that would flow out of that.
Daniel Burke: Fair enough. Just thought I would try. And then I guess just for the last one, again, just revisiting the thought that we are going to see to some extent some lag results out of INOVA, I was wondering if you could address the ability you will have to kind of qualitatively speak to sort of sales levels realized in the current quarter. Which is to say, I guess, when you report in July, will you have the ability to at least speak on the call to what went on in Q2?
Brian Hanson: We’re actually evaluating that as we speak so. It would be tough to make a commitment today but we are taking to look at what we’ll be able to talk about on the real-time on the calls.
Operator: Thank you. And there are further questions in the queue. At this time, I would like to turn the call back to management for any closing remarks.
Bob Peebler: Okay. Well, thanks for taking the time to attend the conference call and we look forward to talking to you during our second quarter call. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes the ION Geophysical first quarter earnings conference call. Thank you for your participation you may now disconnect.